Operator: Hello, and welcome to the Gecina Q1 2025 Business Activity. My name is Laura, and I will be your coordinator for today's event. [Operator Instructions]. Today, we have Benat Ortega, CEO and Nicolas Dutreuil, Deputy CEO in charge of Finance, as our presenters. I will now hand you over to your host, Benat Ortega, to begin today's conference. Thank you.
Benat Ortega: Hi, everyone. Thank you all for being here. Very happy to have the opportunity to present the business for Q1 2025 and answer the questions you may have. During the first quarter, gross rental income was up by 3.6% on a current basis, mainly driven by the like for like, and I'll get back to it in a minute, and the contribution of the newly delivered assets that offset the impact of assets transferred to the pipeline, Mirabeau, Arches du Carreau and the disposal of mature assets on the residential side. The like for like growth of 3.3, fueled by the continued effect of indexation, plus 4.2%, and the contribution of reversion capital on new leases, particularly on central locations, including the impact of service and operated real estate offering across both our asset classes. The solid leasing activity achieved across all geographies once again highlights the dual polarization trends that favor both top quality assets in prime locations. In three months, it's been 41,000 square meters relays or renewed 33 deals, almost EUR 19 million of annualized assets drawing rents. Last year, overall, we led 83,000 square meters, so we've already done on three months the equivalent half of the annual performance of 2024. The overall rental uplift is plus 9%, with 17% in Paris City and 27% in Paris CBD, highlighting the continued reinforcement of polarization. And we also see acceleration of the leasing on the residential side as well, with more leases signed on average in January, February and March than the monthly average last year. Occupancy is expected to improve gradually over the coming quarters. On the pipeline, ICON was delivered in Q1 2025 on time and on budget to be made available to the client over the coming weeks. The student housing disposal project is on track and expected to close in H1 2025 as scheduled. The first set of figures for the year laid a solid foundation to secure our guidance that is confirmed for 2025. We look forward to the upcoming quarters with confidence as this Q1 demonstrates the robustness of our business model. Thank you for your attention, and we will be very happy to answer your questions now. Thank you.
Operator: [Operator Instructions] We'll now take our first question from Florent Laroche-Joubert of ODDO BHF. Your line is open. Please go ahead.
Florent Laroche-Joubert: I would ask two questions. My first question would be to know if you could give more colors on the visibility that you can have today to increase your occupancy in Boulogne and maybe in other areas that cannot be considered as first central areas? And my second question, so will be on the investment side. So maybe the global environment has maybe a little bit changed since the beginning of the year. So, how do you see today the investment appetite on your different markets? And, in this context, how do you feel comfortable maybe to do some acquisition maybe in central areas?
Benat Ortega: Listen, as we've been quite clear about the leasing to be done in Boulogne. We are progressing well. In fact, when you look at since half last year, H2, we have signed several leases in Aurizon with excellent companies, media companies especially. We already signed a new lease on sources above 5,000 square meter with another great FMCG company. So, it's progressing well. Obviously, it's less easy than Paris CBD, but it's progressing according to plan, let's say. Regarding the investment market, we still see quite a decent appetite even in the last weeks on central locations. So, the market is, I would say, a bit more fluid than in the last years, still competitive on small assets, located, well designed, maybe a bit less liquid on outside Paris, obviously, and larger scheme. So, we are monitoring the market on both sides, buying and selling, trying to optimize our asset allocation. Nothing more to comment at this stage.
Operator: We will now take our next question from Stéphanie Dossmann of Jefferies. Your line is open.
Stéphanie Dossmann: I saw that your like for like rental growth in other location was down 25%, if I'm correct. So, I was wondering what kind of reversion do you have on Peri des France renewals relating? You talked about Colombe. So, what kind of negative reversion, I suspect? And the second one would be on acquisitions. So, I was wondering if you could talk about Solstice Building [ph], if you can confirm ongoing discussions or not and the cost, the CapEx needed to refurbish it? And maybe the last one, the last construction cost index was down 2.5%. GDP will be slowing. So, what kind of indexation are you forecasting going forward? Thank you.
Benat Ortega: Regarding other locations, obviously, it's a small portion of what we own. But still, we face some departures of tenants. We are typically I have in mind one in Mourouge [ph], where Orange left our assets, and we have already relet it. So, it's a good news from the first quarter. We have some also departure in Puteaux in one of our assets field, where the former Gras Savoye left, we leased, sorry, the new name, and we have relet already half of the building. So yes, we are suffering some departures. We are active on re-leasing. And obviously, it has a negative impact on our cash flow. But again, it's a small portion of what we own. Regarding acquisition, never like to comment on acquisition before they occur. So, I will not comment on that potentially. But as I said, we are monitoring the markets both to sell and to buy, like usual. Remember, we've been selling EUR 8 billion of assets, investing similar amounts in the last 10, 15 years. So, we are active on both sides. That's the rationale of our company, but nothing specific to comment on one specific asset. And the third is, you've been following precisely the statistics of the indexes. So yes, indexation is decreasing month after month. So, we think it should land progressively around 2%. That's a bit what we have in mind, potentially a bit lower. We will monitor it along the month phase in 2025. It has a limited impact on 2025, obviously, because as you remember, the impact on inflation go through our P&L in the cash flow 12 to 18 after it occurs. So that's why we are pretty confident on and that's the beauty of our business model. We have quite an excellent visibility on cash flows even on indexation. But yes, it will go down progressively. But that goes also along with the interest rates that have also an impact on long term cash flows. Obviously, there is less inflation. Interest rates should be lower than the peak of the last year’s. So, I think all in all, we will monitor the situation, but we are entering into a more normalized inflation area probably.
Operator: We will now move on to our next question from Christian Auzanneau of Alphavalue. Your line is open. Please go ahead.
Christian Auzanneau: Two questions, if I may. The first is about disposals. Do you intend or still sold around EUR 700 million of residential? Two sub questions about this. You have something like the target of EUR 1 billion to EUR 1.5 billion in '25 or around '26? That's the first sub question. And the second sub question is the target of leverage, net debt to EBITDA, which will you could find yourself comfortable? And the second question is about rising concerns in Paris CBD. As far as we are concerned, we are trying to analyze the underlying changes there, and we detect some a couple of negative things on top of increasing vacancy that's was highlighted by [indiscernible] in Q1 2025. What is your own feeling about this? Nothing critical in my question, but do you find something resembling to another crisis because just like I said, it's now close to 500,000 square meters there? Thank you.
Benat Ortega: Regarding disposal, no specific targets for the year. We try to manage our balance sheet on the safe side. We have no specific on top of the development pipeline that we've been talking about, no specific issues regarding that. So, we will monitor it. Really, we try to look at it as an opportunistic buyer and seller, like I said earlier. So obviously, if we see a good traction on some asset classes or some assets we will execute, but no specific target on it. So, on net debt to EBITDA, obviously, it's a company we look at it. The rating agencies look more at LTV because thanks to the high liquidity of what we own, I just see now proving both NAV, but specifically the V of the NAV and the V of the LTV. And have in mind that, again, for it's a fourth year in a row that we grow EBITDA and we decrease net debt. We'll continue to do like we have done in the past. Regarding Paris CBD, you were asking about our own feeling. Obviously, the macroeconomics and the geopolitical tensions are not helping the leasing activity. But we are still facing a situation where there is a very low vacancy. Even if vacancy have grown, we are still below historical average. And like you saw during Q1 results, still significant conversion, still significant appetite. And as you may have seen during this quarter, occupancy in our portfolio grew in Paris. So, we still see a good leasing tension based on that lower vacancy rate in the CBD.
Operator: There are no further questions coming through.
Operator: I will now hand it back to Benat Ortega for closing remarks. Thank you.
Benat Ortega: Thank you for your attendance today, for your questions. Obviously, we are fully ready to answer any other questions you might have in the next week. So have a nice day, and see you soon.
Operator: Thank you. This concludes today's call. Thank you for your participation. You may now disconnect.